Sandra Boenisch: Thank you, Christopher and good afternoon, everyone. We continue to apply fiscally responsible management of cash utilization with moderate increases within budget. We reported a net loss of $8.2 million for the quarter or $0.12 per share as compared to $7.2 million also $0.12 per share in the comparable quarter of last year. Research and development expenses were $6.7 million for the quarter compared to $6.1 million for the comparable quarter of fiscal 2020. The increase is primarily attributable to the continued advancement of our ongoing clinical trials. General and administrative expenses were $2.2 million for the quarter as compared to $1.7 million for the prior year period. The increase is associated with the growth of our team. Our cash division on March 31st, 2021 was $75.9 million, which we believe is sufficient cash runway for up to three years. Thank you. And I will now turn the call back over to Dr. Missling 
Christopher Missling: Thank you, Sandra. So, in summary, we expect a very data rich current quarter, with data readouts from multiple clinical trials and also the remainder of 2021 to be a catalyst rich year for Anavex. We look forward to providing further updates as advancements continue. And I would now like to open the call for questions. Operator, please go ahead.
Operator: At this time, we will be conducting a question-and-answer session for equity analysts.  Our first question comes from Charles Duncan, Cantor Fitzgerald. Please go ahead.
Charles Duncan: Hey. Good afternoon, Chris and team congratulations on the progress. Certainly appreciate the update on enrollment in the Alzheimer's program. So, had a quick question regarding the DSMB decision recently to continue this study without modification. I assume that not only did they look at safety, but did they look at any efficacy end points and/or was there an opportunity to change the sizing -- upsize the trial to say data, I'll call it noise or dispersions and that was not done. So, that data is tracking as you would have anticipated on a blinded basis?
Christopher Missling: The Alzheimer study DSMB related question?
Charles Duncan: Yes.
Christopher Missling: Right. So the DSMB has access to all data. And we understand that DSMB made the decision to continue without changes according to their review. We do know also though that the focus on the review was on safety.
Charles Duncan: Okay. So, they're looking at safety adverse events, but were they also considering efficacy? Were there any kind of futility analyses, or did they have the opportunity to recommend upsizing the trial based on data dispersion?
Christopher Missling: The DSMB has usually very independent ability of recommendations, but the DSMB itself -- the priority is on the safety assessment.
Charles Duncan: Okay. So it sounds like in this case, they weren't really looking at efficacy at this point.
Christopher Missling: Again, their access to all the data, so that is the best way I can answer this question. So, there was not a specific request to look into something like futility.
Charles Duncan: Okay. Can you provide some color on the rollover rates for that study into say the Open Label Extension? Can you give us perspective on whether or not patients are going beyond the plan dosing period?
Christopher Missling: Yeah. So, we have a very high rollover rate from the placebo control part of this study into the ATTENTION-AD extension study, which is a two-year 96-week long extension open label. And we happen to reach the -- close to the end of this Open Label Extension study. And we have been received early request for a continuation of patients on this extension study, and we will very likely seek extension of the extension study because of that. And that reminds us of what happened in the Phase 2a, which was also originally limited to a extension period. And then because of requests from participants and caregivers and physicians, investigators, it was extended multiple times to end up a five-year extension in total. And after the five-year, as you know, the participants of the Phase 2a study ended up being allowed to produce a study as a drug on a human terror – the exception procedure. And so, this is the feedback we received from the larger Alzheimer study Phase 2b/3.
Charles Duncan: It seems like the positive relative to the perceived benefit that the patient is getting lack of tolerability issues. But when you mentioned high rollover, could I assume that's like 90% rollover rate or something like that. And then secondarily in terms of the failure rate within -- or excuse me -- dropout rate within the placebo controlled portion, what were your assumptions and how well did the trial do thus far help patients staying on that?
Christopher Missling: Yeah. Right. So, the percentage is in the range of what you indicated of retention. So, extension into the open label study from what we understand, and we have modeled the dropout rates similar to other drugs in this field at Alzheimer disease. It's a long study. So, there is - in patients with a impairment, like Alzheimer with multiple diseases, not only Alzheimer, also cardiovascular features. So, there is often this phenomenon that the patients do not finish an entire study. So, we have assumed similar rates as in the other studies in comparable length. And I think we are not in any form of passion different than or worse than these numbers.
Charles Duncan: Okay. That's helpful. Last question regarding the Parkinson's disease dementia program, were you thinking about going to the agency with say an end of Phase 2 meeting? And if so, can you provide some color on when that might be?
Christopher Missling: Yeah. We said that we would do that. And once the data is completed, we're about to wrap up. You have to understand in the PDD study, there were a lot of measures included. The CDR system, the UPRS, the actigraphy, the sleep paradigms, and most importantly, what have been the most time consuming one, the gene analysis and all this together will be put together in the respected report and that will be shared with the FDA, and then we will be able to get the recommendation for the pivotal study in PDD.
Charles Duncan: Could that be this quarter or in …?
Christopher Missling: We will do it as soon as we can. We will do it as soon as we can.
Charles Duncan: Okay. Appreciate you taking my questions and the added color.
Christopher Missling: Thank you very much.
Operator: Thank you. Our next question comes from Ram Selvaraju, H.C. Wainwright. Please go ahead. Perhaps your phone is on mute. You may go ahead.  We will go to the next question. It comes from Jeffrey Cohen from Ladenburg Thalmann. Please go ahead. 
Jeffrey Cohen: Hi, Christopher and Sandra. How are you?
Christopher Missling: Hello? How are you?
Jeffrey Cohen: Doing fine. Just a few questions. So, first on the income savings. Sandra, can you help us out on the incentive income for quarter and what that might look like for the balance of the year, as far as our modeling purposes?
Sandra Boenisch: What is the question exactly?
Jeffrey Cohen: Wanted to know about the R&D development, Sandra, 1.27 for the quarter and how that may look like for the balance of the year?
Sandra Boenisch: I think it was 960,000 for the quarter, and we expected that will remain consistent throughout the remainder of the year.
Jeffrey Cohen: Okay. Okay. Got it. And for sure, can you give us some insight into the 2-73 trial more specifically as far as any discussion with the agency, as far as fast-track or accelerated approval?
Christopher Missling: Meaning for Rett syndrome?
Jeffrey Cohen: Yes.
Christopher Missling: Yeah. So, we have -- the first study finished, which was the very first study in Rett syndrome, the U.S. Rett syndrome, RS-001 study. And then we had seen a very positive outcome where we were presented top line data recently last year. And we will now be able to share the entire data of the study. And with that data, we will go to the FDA and discuss with them the path forward, given that we have two ongoing studies. One is the RS-002 in the stage age group with higher doses and RS-003, which is also high doses with a younger patient population. And we believe that the first study the RS-002 could be potentially pivotal together with the U.S. study. And that is the discussion we like to have with the agency. We'll explore the approval for younger patient population with the RS-003.
Jeffrey Cohen: Okay. Got it. And any update on the PDD Phase 2 and the AVATAR Phase 2/3 in RTT? Are those timelines still on track?
Christopher Missling: Exactly. So the RS-001 full data will be this quarter and the PDD study will be this quarter in the release of the top line data of the RS-002 is expected by mid of this year.
Jeffrey Cohen: Okay. And that's in adult population, correct?
Christopher Missling: That's the adult population higher dose. That's right.
Jeffrey Cohen: Okay. Perfect. That’s all for me. Thanks for taking the questions.
Christopher Missling: Thank you.
Operator: Thank you. And we have Mr. Ram back on line. Please go ahead.
Raghuram Selvaraju: Sorry. Thank you very much for taking my questions. I apologize. I must have had a problem with the signal before. First of all, I was wondering if you could comment on strategic thoughts regarding the potential commercialization of blarcamesine in Rett syndrome versus PDD. And what implications that may have in terms of Anavex's overall positioning? Are you looking at those indications as opportunities to self commercialize entirely, or are you looking at each of them differently in terms of the degree to which Anavex is going to be directly involved in the actual sale of the drug?
Christopher Missling: That's a very good question. I think we are not -- would be not the first company to market a rare disease ourselves, if approved. And that is right now the going plan for Rett syndrome. So, we have put in place steps in order to prepare for that. For the PDD, we have to be aware, we have to do another study, which is not -- which we didn't -- we have planned anyway, a pivotal study because the first study was a Phase 2 proof of concept study. And so, we have some more time to think about the second indication PDD in terms of marketing, if we would like to license it or how to structure a partnership, if at all needed going forward. So, this would be something we don't have to decide right now. But Rett syndrome, we would be able to market it ourselves to this content in the U.S.
Raghuram Selvaraju: And pursuant to that, have you made a definitive decision regarding the disposal of the fugitive priority review voucher that you would be eligible for if you won approval of blarcamesine and Rett syndrome, would you, in other words, apply the PRV to something else in your own pipeline, or would it be definitive that you would monetize it?
Christopher Missling: Right? This is the same flexibility we are able to retain given that we are planning to also open another study shortly after the Rett study in Fragile X, where we have very good pre-clinical data. And the drug also is within the family of autism spectrum disorder, like Rett syndrome is as well and where the drug is expected to be also superior to current treatments or symptoms -- or treatments to current opportunities in Fragile X, but also we have another rare disease -- rare disease, which we have not disclosed. So there are different ways to think about that. But we don't have to make the decision yet regarding how to address the voucher.
Raghuram Selvaraju: Okay. Great. And one last question. The clinical development timeline with respect to Fragile X, can you just walk us through what you expect the near term clinical development milestones to be in the Fragile X indication?
Christopher Missling: So for approval, you mean?
Raghuram Selvaraju: Well, start with the near term clinical development milestones, the next clinical study when that is likely -- when it is likely to report data.
Christopher Missling: Right. So the RS-001 full data will be this quarter. The RS-002 top line will be mid of the year. And the RS-003 will be in the second half of this year. And in between discussion with the agency, which will determine how the data can be utilized in order to get approval for the drug for patients which have no therapeutic available for Rett syndrome.
Raghuram Selvaraju: Thank you very much.
Christopher Missling: Thank you.
Operator: Thank you. Our next question comes from Tom Bishop from BI Research.
Tom Bishop: Hey, Christopher. I got a couple of little questions. But I have always assumed that Open Label Extension study means that everyone gets the drug. Is that correct assumption?
Christopher Missling: Everybody who had participated in the study previously, that is Open Label Extension for those who had finished the study, either in placebo or an active drug, they are able to get the drug, not everybody without any association or being not involved in the study.
Tom Bishop: Right. Right. And they get the drug for free still?
Christopher Missling: That's right. Yeah. Nobody has to pay for anything.
Tom Bishop: Okay. Sandra, could you just tell me the number of shares outstanding now, not average for the quarter, but now?
Sandra Boenisch: I think we disclosed in the Q. It should be about 70 million.
Tom Bishop: It should be what?
Sandra Boenisch: 70 million.
Tom Bishop: 70 million? Okay. And I was wondering if how many Alzheimer's patients still from the original A 2-73 study, which was 32 patients are still on the drug. And there's a famous graphic that I like that shows the number of patients that were on the medium and low dose that showed a sharp decline in MMSE and et cetera. And the -- and those on the high dose showing very little decline. But the total of the two, as I recall, was like 21 or 22 patients. And I'm just sort of wondering where the others went.
Christopher Missling: Yeah. So that was in the three-year interim analysis. We will be able to share the remainder timeframe possibly in the future. But the patients who have been in the study, they have now been switched over to eligibility of a humanitarian device exception -- exemption. That means they're not in a clinical trial anymore because it -- when the trial has completed officially the extension, but they continue to take the drug. And I understand that run about, it's less than 21. I think it's between 10 and 21 patients, if I'm not mistaken. There's a very encouraging number that there's still people after five years taking drug.
Tom Bishop: Yeah. Yeah. That's true. Also with regards to -- I've read some articles where other companies said they are working on the Alzheimer's indication, one guy -- one of them has a partner and the other one's got NIH funding, and of course, Anavex has neither. But I think that there's a good reason for both, but I'd rather hear it from you than me.
Christopher Missling: I think we're moving very quickly. When you look at those who that get the NIH grants, you have to have published data and then takes a long time to get a grant. And if you get the grant, it takes a long time until you get the money. So that's not a preferred way of moving for the asset. We've been very quick in moving forward the assets and the advantage of happening too early, that you are kept with the upside. So there's a biotech company. You just have not retained the upside for shareholder. And by pushing this out, that is the advantage of having real upside for shareholders of Anavex.
Tom Bishop: Right. And I was just wondering if you've ever had some interest from other people in partnering, or if you just shut them down because you want to keep the 100%.
Christopher Missling: We have always been called upon and knocked on the door to discuss this. And we participate regularly at the conferences like bio regularly. So, we are in discussions with the big pharma companies, but again, it has to be a mutually beneficial structure for striking something. And we are very excited about our projects and our pipeline. And we'd like to retain the upside for that reason. We are proceeding as we speak right now. It does not mean that we will not do -- partnership eventually at the right time, but we are aiming for shareholder value and to maximize it and that requires to have this flexibility of mind.
Tom Bishop: Okay. And last question, the Rett 003 trial, the ANAVEX trial, is that 003 or 004?
Christopher Missling: 003.
Tom Bishop: Is that due -- I was wondering how the enrollment's coming on that and what is the size, if you could remind us?
Christopher Missling: Yeah. We increased the size from -- we've said set more than 68, 69. So, it's going to be more than 69 and we have stated that it will be in the second half this year and then enrollment is going well.
Tom Bishop: All right. Fair enough. Thank you, Chris.
Christopher Missling: Thank you.
Operator: Thank you. We have a follow-up question from Charles Duncan, Cantor Fitzgerald. Please go ahead.
Charles Duncan: Hey, Christopher, thanks for taking the follow-up. Had a couple of questions, one back on the PDD and the other is on Rett. Going back to the PDD, your answer before -- I'm just trying to figure it out. First of all, do you intend to present the data or more findings from that study in the near term? And then, with regard to the genomic analysis, I know that lab function has been a little bit COVID-fied  if you will, in the last year, but would you anticipate, call it days or weeks or months or quarters in which you'd be able to move forward with perhaps end of Phase 2 meeting with the agency?
Christopher Missling: Right. So the PDD data, we'll have a lot of data because the entire CDR system has multiple measures. We're talking about a total of -- it's a lot of the cognitive domains have been captured in the system, very granularly and there is no total CDR system score and they all capture different levels of cognitive domains, like picture recognition, word recognition, picture accuracy, memory, word accuracy, and short-term memory, long-term memory and the reaction time, a short reaction time, memory action time. So, there are different levels of cognitive tests, which are there, so that is already a lot of measures, which we will present and then comes the entire battery of what were called more participating measures of Parkinsonian disease, not the UPRS, UPRS 1, 2, 3, 4 and then we have the actigraphy, the sleep paradigms, we have two different sleep paradigms. And then on top of it, we have the genomic analysis of how the sigma-1 moves and what it does for patients and regarding sigma-1 status. But despite that, we are now there to finish this up, and we expect this data to be announced, presented this quarter, as we speak. And the discussion with the agency, we'll follow up very rapidly once we have that. Just understand the agency request a report, the report has to be completed, has to be audited and reviewed and signed. And that's basically requires also some additional time. Business now all done. And this will be all done when we submit to the agency. And so, we expected we need to be -- I would say more question of months, not days, but not too many months. That's part of the best way to describe it.
Charles Duncan: Okay. That's helpful. And then my follow-up on the Rett program. Just quickly on the safety database in terms of its sizing, given the range of age groups that you're studying. What has the agency said to you in terms of what's going to be required for that safety database? It is rare disorders. So I imagine it's not two owners.
Christopher Missling: Yeah. So, we included in all our Rett clinical studies and extension study. So, in the RS-001, it's 36 months -- 36 weeks study of Extension Open Label that was already originally extended before. We have a one year extension in the RS-002, and also the same a one year extension RS-003. And given the history, and we believe these are sufficient timelines for safety, for on safety extension and from the feedback also from the European EU side of the operation, but we believe that what will happen very likely, and that's what Anavex is committing to patients and that's what we're here for is that, those patients who started a study with Anavex will also have always a chance to continue to stay on a study drug or ANAVEX 2 and 3. So it's very likely we'll also extend these extensions beyond the time period anticipated.
Charles Duncan: Okay. Very good. Thanks for taking my follow-up.
Christopher Missling: You're welcome. Thank you.
Operator: Thank you. And at this moment, I would like to hand the call back to Christopher Missling.
Christopher Missling: So, thank you very much. And I want to reiterate, we're very excited about our program. We believe we have a really strong pipeline and a platform which allows us to address multiple unmet needs. In summary, we expect a very data rich current quarter, with data readouts from multiple clinical trials and the remainder of 2021 to be also a catalyst bridge year for Anavex. With that, we look forward to providing further updates as advancements continue and stay tuned. And thank you very much and have a good week -- good afternoon. Thank you.
Operator: Ladies and gentlemen, this concludes our call today. You may now disconnect.